Operator: Good morning, ladies and gentlemen. At this time, we would like to welcome everyone to the Telefónica Brasil Second Quarter of 2019 Earnings Conference Call. Today, with us, representing the management of Telefónica Brasil, we have Mr. Christian Gebara, CEO of the Company; Mr. David Melcon, CFO and Investor Relations Officer; and Mr. Luis Plaster, IR Director. We also have a simultaneous webcast with the slide presentation on the Internet that can be accessed at the site www.telefonica.com.br/ir. There will be a replay facility for this call on the website. After the Company's remarks are over, there will be a question-and-answer section. At that time, further instructions will be given. [Operator Instructions] Before proceeding, let me mention that forward-looking statements are being made under the Safe Harbor of the Securities Litigation Reform Act of 1996. Forward-looking statements are based on the Company's management beliefs and assumptions and on information currently available. Forward-looking statements are not guarantees of performance. They involve risks, uncertainties and assumptions because they relate to future events and, therefore, depend on circumstances that may or may not occur in the future. Investors should understand that general economic conditions, industry conditions and other operating factors could also affect the Company's future results and could cause results to differ materially from those expressed in such forward-looking statements. Now I will turn the conference over to Mr. Luis Plaster, Investor Relations Director of Telefónica Brasil. Mr. Luis Plaster, you may proceed.
Luis Plaster: Good morning, everybody, and thank you for joining us in this conference call for Telefónica Brasil’s 2019 second quarter results. The call as usual will be divided as follows. To start, Christian Gebara, our CEO, will give you an overview of our operating and financial highlights for the second quarter of the year and then go over our commercial and CapEx evolution in more detail. Then our CFO, David Melcon, will comment on our digitalization initiatives, efficiency commitment and financial results. We will then move to Q&A. And now, I pass the word to Christian.
Christian Gebara: Thank you, Plaster. Good morning, everyone, and thank you for taking part of our second quarter 2019 results call. I start by commenting on the highlights on Slide 3. In the second quarter of the year, our FTTH customer base continued to roll at an accelerated pace of 37.9% year-over-year and FTTH revenues 55.1%. It again confirms that fiber is transforming our fixed business and it would drive revenue growth in the future. In mobile, we continued to execute our role as market leaders by increasing prices and most importantly enhancing customer experience. As a result, our postpaid customer base expanded 8.5% and postpaid revenues grew 3.5% year-over-year. Total revenues were up 0.4% mainly driven by mobile revenue that grew 2.3% year-over-year, including handsets and by an improvement in the fixed revenue trends. In term of costs, we still see additional opportunities to reduce non-quality costs and leverage on digitalization and efficiency initiatives so as to further improve profitability. In the second quarter, cost decreased 2.4% year-over-year when excluding cost of handsets, and our EBITDA margin reached 34.9%. These elements combined with efficient financial management are what allow us to deliver superior cash generation, net income and shareholder remuneration. In the first half of the year, our free cash flow expanded close to 13% year-over-year, reaching R$3.4 billion. We declared R$2.2 billion of interest on capital and recurring net income grew 24.3% on our early comparison. Moving now to the details of our main businesses on Slide 4, represent evolution of our mobile revenues which grew 2.3% year-over-year when including handsets. If we exclude handsets, mobile service revenues increased 0.1%. In the first half of the year, postpaid revenues grew 5.7% benefited by the hybrid price increase in Q1 and a sequential improvement of prepaid revenues. For the second half of 2019, we are maintaining our rational pricing strategy and have already announced a pure postpaid price increase that will positively impact the third quarter of 2019. While in prepaid, we expect to continue to improve the evolution based on better monetization of our customer base. On Slide 5, you see that our leadership in the Mobile segments slightly increased to 32.2% of market share and that it's 40% when we consider only postpaid customers. In terms of postpaid net adds, we see a sequential improvement even after have increased our hybrids prices at the beginning of the year. Moving to the right hand side of this slide, I would like to point out the results of an analysis conducted by the benchmark expert, P3 and the magazine connect on the quality of mobile networks in Brazil, based on 6.3 billion samples and almost 1 million users evaluating metrics such as voice and data coverage, download speed and data availability. As we can see, Vivo led overall nationwide results with gap of more than 40 points versus second place operator. These are the indicated they're really measured the overall network quality including capacity and coverage where Vivo has a differentiated position. Moving to our fixed business on Slide 6. This transformation of fixed revenues mix is leading to continuous improvement. In the second quarter of 2019, total fixed revenues grew sequentially and for the first time in the Company's history, broadband revenues outweighed voice revenues. The change in revenue mix and sustainable fiber growth are driving a gradual progress in the year-over-year trend. In second quarter 2019, fixed revenues dropped 2.8% year-over-year compared to a drop of 3.2% in the first quarter of 2019 and a decrease of 3.7% a year-ago. FTTH revenues reached R$481 million growing 55% year-over-year and IPTV revenues reached R$217 million, increasing 40% year-over-year. This improvement confirms that we're on the right track to stabilize fixed revenues and resume growth in the near future. On Slide 7. You can see that the shift of our fixed revenue mix is directly linked to the improved profile of our broadband services as we accelerate our FTTH deployment. In the second quarter of 2019, FTTH access grew 38% and now represent close to a third of our broadband customer base and 9 percentage point increase versus a year-ago. As a result, total broadband ARPU increased 14% year-over-year to R$63.3, the most significant increase of the last six quarters. On the right hand side of the slide, you can see that our IPTV business is also performing very well. IPTV access increased 33% year-over-year and now represent 44% of our overall Pay TV customer base, improving overall ARPU by 5% to R$104. Now moving to Slide 8. We continue to focus on expansion of our fiber footprint. In the second quarter of 2019, we took our FTTH network to an additional 12 new cities sending up to a total of 142 cities, 21 more than at the end of 2018. More importantly, we are increasing the number of homes passed with FTTH, which are now reached more than 9.5 million. For the second half of the year, we continue with the first phase of fiber expansion, moving new and existing cities, while selectively overlaying FTTH in the most valuable FTTC footprint. On Slide 9, we did deal the investment meeting the periods. CapEx amounted to R$2.4 billion in the second quarter of 2019, totaling R$4.1 billion in the year, 10% higher [Audio Dip] related CapEx. As such, investment in fiber increased 34% year-over-year, further improving our presence to 252 cities with FTTx. Additionally, we continue to allocate CapEx to amplify our coverage and network quality in 4G and 4.5G technologies with a 33% increase year-over-year. Moving to Slide 10. You can see that on July 23, we signed a Memorandum of Understanding with TIM, with the objective of analyzing options related to the sharing of mobile infrastructure. By signing this MoU, we intend to initiate discussion regarding the sharing of 2G and 4G infrastructures and other efficiency and cost reduction opportunities around network operations. We plan on combining our 2G footprint in a single grid model, something they can potentially release 2G footprint is to be reformed and used for up-to-date higher return technologies. Additionally, we intend to share our 4G network in band of 700 megahertz, initially in cities with less than 30,000 inhabitants allowing for further expansion of our 4G footprint with less CapEx, OpEx intensity. The agreement is in line with the global trends of network sharing and consolidation of fundamental importance in the countries with geographical dimension of Brazil. It's also solid steps taken towards our rationalization of investments and capture our cost efficiencies, which will additionally improve the overall quality of services for our customers. I'll now pass it on to our CFO, David Melcon.
David Melcon: Good morning, everyone and thank you, Christian. Moving to Slide 11. We continue to be very efficient in managing costs, decorating on digitalization and simplification purposes that benefit not only our results, but also our customer experience. In the second quarter of 2019, our operating expenses were flat year-over-year, significantly below inflation of 3.4% registered in the period. Costs were negatively impacted by accelerated handset sales. Excluding the cost of handset sold, our expenses dropped 2.4%. Personnel cost that represent 13% of total OpEx decreased 2.6% as a result of the organizational restructuring executed in the last 12 months. Cost of service rendered that accounts for 40% of the total OpEx decreased 2.4%, mainly driven by the lower expenses within the connection, partially compensated by higher costs related to the expansion of our network. Commercial expenses, excluding bad debt decreased 6.7% in the period continuously benefited by digitalization that significantly reduced expenses with call centers, back-office, billing and posting. In the second quarter of 2019, commercial expenses represent 25% of our total OpEx. Moving to Slide 12. Artificial intelligence and our e-care app continued to the catalyst to capture cost efficiencies and to improve the overall experience of our customers as well as their interaction with Vivo. Our virtual assistant AURA is already used in more than 20 channels, recording more than 50 million interaction up-to-date, addressing a variety of key issues related to billing, data usage and prepaid balance among other. Elaborating on AURA's capabilities, our Cognitive Call Center address demands from our customers, reducing the number of calls with human interaction. In fact, since January, the number of calls retained by our Cognitive Call Center multiplied by three, achieving satisfaction levels above 90%. We are also constantly developing our future app Meu Vivo, not only in Móvel and Fixo B2C, but also in B2B. This app is designed to attend the most common demands from our customers, unlocking non-quality cost savings. As a result, over the last nine months, top-ups made on Meu Vivo increased by more than 60% contributing to our significant reduction of top-up commissions. Now moving to Slide 13. Net income for the first half of 2019 reached R$2.8 billion, 24% higher than a year-ago in a recurring basis. This positive evolution was driven by EBITDA growth boosted by total revenue expansion and regress cost evolution, improved financial results related to the lower net debt and reduce recurring tax expenses resulting from the higher volumes of interest on capital declared in the period amounting to R$2.2 billion significantly higher than in the previous year. This reinforced our aim to continually remunerate our shareholders while investing to capture growth opportunities. A combination that is unique to Vivo in the Brazilian telecom space. Turning to Slide 14. In the first half of 2019, free cash flow grew 13% year-over-year reaching an impressive R$3.4 billion despite growing 10% the CapEx in the period compensated by lower interest payment and improved working capital. The resources are being used not only to remunerate our shareholders, but also to investing cutting-edge technologies that we consistently yield higher results. Finally, as a reminder in August and December 2019, we have a scheduled dividends and interest on capital payments related to 2018 results totaling around R$7 billion. Thank you. And now we can move to the Q&A.
Operator: Thank you. The floor is now open for questions. [Operator Instructions] Our first question comes from Rodrigo Villanueva, Merrill Lynch.
Rodrigo Villanueva: Thank you. Good morning, Christian, David, Plaster. Good to speak with you. My first question is related to the wireless business. Over the last few months, the Vivo has been consistently raising wireless prices across segments. But this doesn't seem to be driving up wireless service revenue growth. So, I was wondering, why do you think this is the case? When would you expect wireless service revenue growth to accelerate? And if there are other initiatives that you are considering apart from price hikes to accelerate wireless service revenue growth? Thank you.
Christian Gebara: Hi, Rodrigo. This is Christian. In the first quarter, we increased price in the hybrid plan, and we saw better results from the mobile service revenue. So, in the second quarter, we haven't raised any price. So maybe that's why because when you combined the two of them, we had to grow up in personnel service, but had stronger growth in the first half. Yes, we did increase price on that. We could see in the results for mobile revenues, especially moved from the hybrid one. We're going to do the same for the postpaid that we already announced in the third quarter and in the end of the year, we're going to do it again in the hybrid. In the prepaid, we also raised price as we also said in the last call, we raised price for our weekly and biweekly offer, from 10 to 12. We also increased price of the face value of some of our top-ups in some of the markets and we could also see an improvement. Now if you see the prepaid that was minus 19% in the first quarter is now minus 8.7% year-over-year rather. So, we do believe that when we do a price increase that is blended with innovation in the portfolio and more data or more benefits, we can see the results, but of course, it's not the only way for us to increase our attractiveness. I think our net add was also positive in this quarter better than the quarter before. And going forward, we would continue to do more innovation in our offer, blend our FTTH footprint that today is 9.5 million home passed and be more conversions in our offer and to cross benefit between the two types of customers, the fixed and the mobile.
Rodrigo Villanueva: Understood Christian. Very clear. And my second question is related to handset sales. As it seems that you are looking to gain share in these markets. Looking at the P&L, it seems that you subsidized around 15% to 20% of handset costs. I was wondering if this is actually the case, and if not, could you please share with us how much of a profit can you make out of handsets? Thank you.
Christian Gebara: Yes. I don't know the numbers we got from the cost of goods sold over the total revenues. I don't think it's 100% correct because cost of goods sold there are some other hardware that will sell for B2B customers. So, the ratio is not the one. I think our strategy for devices as we've been saying for a long time, now I think we decided to come back to the game. I think it's very close to our core business that is selling service. So, we went out with stores as we are trying to communicate not only to the market, but also to consumers in our communication that we want customers to find everything that they want in technology in our stores. Now we have 1.6 thousand stores in Brazil and we want to be seen as the place for them to buy not only mobile service, but also hardware and accessories. So, our strategy is combined subsidies with pure postpaid with more value, but also selling devices to hybrid and prepaid customers without subsidies. So, it's a mixture of the both, so that we are going to continue doing that. And again, hardware is all included in cost of goods sold not only handsets.
Rodrigo Villanueva: Understood. Thank you very much.
Operator: Our next question comes from Maria Tereza Azevedo, UBS.
Maria Tereza Azevedo: Hi, everyone. Thanks for the call. So, my first question is on mobile competition, following up on the previous question. You increased prices and we should see the benefit of this next quarter. But how would you see the competitive environment? Do you think rationally is going to prevail or do you see room for unlimited data plans or any disruptive movements from your competitors? And if you see on mobile, do you see any strategic value for a potential in market consolidation or do you think that the market is already very much segmented between the premium players and the other ones? That will be my first question. Thank you.
Christian Gebara: Maria Tereza, thank you for your question. Well, of course we expect more rationality from our competitors. I think we've been giving signs of price increase. I think in some of the segments in the mobile, some of competitors followed our movements. We still expect them to follow more closely, especially in the prepaid. It's not only in the price, but also in the benefits that we offer. We've been very strict in off net or even some social networks that we don't want to be for free, especially in the prepaid, when they have been around R$10 per week or even two weeks in some cases. So, we expect rationality to come back. Now we see that in some segments, we don't say, no. We see some competitors, not for all. So, going forward, I think we should, especially for all the investment that we all need to make in the country. We have like auctions. We have network to deploy. So, we need to generate more cash. So, I'm positive. Their rationality will be among all of the players. Concerning consolidation, I think Brazil, as we said in the other calls, now Brazil requires a lot of investment and very strong, and the financial capability to be able to compete. So, I cannot tell you what the number with the right number of competitive that we should have in the market. But I do believe that investment they are required both in mobile and fixed, don't allow to have so many players competing for the same customers.
Maria Tereza Azevedo: Perfect. Thank you, Christian. And my second question would be on your CapEx and 5G strategy? You have an upcoming auction? Can you maybe comment on how complex is the upgrade? What are your strategies on 5G, if there are expectations of a massive rollout or if it's going to be a more gradual strategy and if you see any risk of increased CapEx for 2020 and forward or if you can rollout 5G with your current plan? Thank you.
David Melcon: I think the guidance that we gave for the three-year plan is the one that we gave. So, with the [R$26.5 billion, R$24 billion – R$2.5 billion] that we accelerated for the fiber. Although, we consumed a little bit less last year and we are trying to be a little bit more efficient also this year. But again, this is the same, we have not changed it. I think it's too early to say how much going to be our CapEx expended for the 5G, and the auction is plan to be in March 2020. It's going to be a lot of things being auctioned there R$700 million, maybe the [2.3%] they can also be used for 4G. So far what I've been doing is preparing ourselves for as a capacity standpoint. So, we are putting in the fiber to the sides. We are doing as much as we can and I think also these MoU that we signed with the TIM is also our ability to release investment maybe in 2G and 4G in more cities to invest in other technologies or high speed technologies. So again, we keep the guidance that we showed in the market for the three-year plan that includes next year.
Maria Tereza Azevedo: Perfect. Thank you very much.
Operator: Next question comes from Susana Salaru, Itaú.
Susana Salaru: Hi, guys. Good morning. Thank you for taking our questions. The first question is related to the price increase timing. We used to have price increases, if I'm not mistaken in the beginning of the year-end at towards the end of the year. And this year, the whole something of price ups changed? So, if you could comment on the rationale of changing the price increase that would be our first question. The second question is a follow-up on the handset business. You mentioned that you have been selling handsets with and without subsidies. Could you just elaborate a bit more the kind of margins that you aim to have in this segment and if these margins are positive, what are the strategy behind that? I mean how come you can have positive margins on handsets? That's it's. Thank you.
Christian Gebara: Susana, so I think this question, the price increase, it's more or less the same that we did, maybe we are doing one-month in advance in some segments. We did a hybrid last December, beginning of January with some impact. We are going to do again December, January this year. So, it's more as one year after it. In the first page, the similar, I think we did third quarter 2018. We are doing now, August 2019. So, it's more or less the same and prepaid has no rule because it's kept the same price for a long time. So, we are doing offer-by-offer and also, I think it's similar to what we did in the past, maybe one month, I had one month before, but it's always different for hybrid and pure postpaid, never in the same date. Regarding handset and then maybe our team can give you more detail that – I don't know how much we can share, but it's a mix of pure postpaid customers and we also want to position ourselves in harboring the prepaid customers that don't buy, we substitutes that with – some years ago, we decided not to sell to these customers and we decided to be back to this game. Also selling, competing with retailers, big retailers, large retailers that are capturing a lot of this market. So here there is a mixture of customers that we sell with subsidies, although the unit value of the subsidy is going down. We still sell with subsidies, but this customer that one by four pure postpaid. In the hybrid depending on the customer, we only give slight subsidies for the high-end, only in the hybrid, we don't give to others and we don't give them the prepaid. It's a difficult number for me to give you right now because there's all accessories that we sell together, then the margin is much higher. So, what we give as a number is that we are getting a positive margin, but it's the mix between subsidies nuclear postpaid without subsidies in other segments. And we are reinforcing our presence in segments without subsidies with a massive communication to drive customers to our stores and very focused in hybrid and prepaid.
Susana Salaru: Okay. Just a follow-up on that Christian. On the handsets, I mean, do you have any strategy regarding the inventory to have a high inventory turnover just to optimize the cost of the handset or you have been buying a big number of handsets through [indiscernible] to your trading desk [indiscernible] in Germany to lower the prices. I mean, in terms of procurement today, anything that you have guided, doing to facilitate the profitability of the business?
Christian Gebara: Our inventory is very well optimized and I think the scale that we get is not for buying more. It's the scale of the Telefónica Group that helped us also have a good unit price. And even like Vivo by itself is a very strong buyer for Brazil and we’ve been working a lot in the inventory optimization, and I can tell you that we have one of the best ratios in the markets, not only Brazil, but worldwide.
Susana Salaru: Okay, perfect. Thank you.
Operator: Next question comes from Fred Mendes, Bradesco.
Frederico Mendes: Good morning, everyone. Thanks for the call. I have two questions as well. I mean the first one, if you could give just a little bit more information about the MoU, you signed with team and possibility of expanding to cities for more than 30,000 you have, particularly in terms of application approval in terms of capital allocation? This would be my first question. My second question, look at the EBITDA margin, especially on a pro forma basis. Just to get a better understanding of the potential for next quarters. I mean we do expect to hear at least our view that the FTTH product does have a higher margin than other products such as copper and voice. So, as the FTTH continue to grow at the fast pace, do you believe that we could see an improvement in margins maybe above what the market expects? Or maybe on this initial stage you are charging a lower price in order to gain more market share, so that's why you're not seeing such an improvement in margins yet, of course are all other moving parts, but just trying to get an understanding of the strategy here and the potential from the FTTH in terms of margin? Thank you.
Christian Gebara: Hi, Fred. This is Christian. Thank you for the questions. Regarding the MoU, the first one, I think it's very preliminary to talk about what is going to be the impact, giving them more color on the MoU, we are going to – there's two key pieces. The first one is 2G, the 2G here the idea is to work towards a single grid, where we could split our footprint and give services like in half of the country each, so that we could free – our focus is to be used in other technologies such as 3G or 4G. So that's the first idea that we have. We’re going to start with cities outside capitals to see how it works and then we can be improving it to more cities depending on the analysis that we do during this 90 days that we have before the final approval if it's [indiscernible]. In the 4G, it's focused on 700. We started with 30,000-inhabitant city, but of course, if it works, we may be expanding it more – to larger cities. Now as you said, as you correctly said. So, I think it would depend on the results. We are very positive and optimistic that can work. We have 90 days to make it concrete, as a plan, get the needed approval and make it work. And also, I think in the short-term, we'd be able to present you result. How is it working and with the impact in our CapEx and OpEx and especially in our coverage that we could expand it if we can do that splitted with TIM? Regarding EBITDA margin, as we said, you’re right, we’ve been increasing FTTH, we've been replacing some copper. At the same time, we are also replacing voice that has high margin, but we are going in the right direction, it will consider only broadband. I think we have the right price point. We are trying to sell high-speed in cities that we get to optimize and to increase our ARPU. I think we will be seeing the ARPU going in the right trend. And I think you would believe that if the revenues come or being able to increase margins and the increase EBITDA. But I think our key objective here is to increase in absolute numbers the EBITDA that we present. I think it’s a mixture of very different services. There is handset that Susana asked before that is involved in our revenues. There is some B2B services that include services and hardware that is also – it’s being very successful in our sales strategy, and of course, fiber is being one that's contributing not only with revenues, but also with positive margin. So, going forward, individually fiber is a good project that's bringing positive margin as you said, but I need to combine with all the other services and products we are also selling.
Frederico Mendes: Perfect Christian. Very clear. Thank you.
Operator: Next question comes from Valder Nogueira, Santander.
Valder Nogueira: Good morning, guys. Thanks for taking my question. Continuing on the FTTH here and shifting gears from mobile. You have proven to have a very good FTTH strategy and had – and that has underscored the improvement that we saw in fixed line revenue dynamics. The question here is, do you see ways to speed up that rollout? Meaning having built-to-suit agreements with construction companies or independent players or even commercial agreements with them, and how has the pricing dynamics of FTTH behave to vis-à-vis the DSL prices and the price of competitors in the geographies you are? That's my first question.
Christian Gebara: Valder, thank you for the question. This is Christian again. I think as we said now, we've got to 142 cities with FTTH, little bit more in 250 if you consider FTTx. Brazil is a huge country with more than 5,000 cities. I think we want to get to as much – as many cities as we can, and we have a guidance and we have a CapEx that is controlled. So, we cannot do everything by our own. So, we will be able to consider other infrastructure type of models. We don't have anything right now. We've been analyzing and to see if there is an incentive for us to do that to know how, how can we do that. But I think going forward it's going to be hard to believe that we'll be able to be independent player building by ourselves all the network that we believe it's demanded in a country, the size of Brazil. Especially when we have 40% of the postpaid customer base that there is a lot of advantage for us to sell a bundle of our postpaid advantage together with FTTH. And I think we started before. We have more expertise as a group and we are going to continue to accelerate. And as we have CapEx limitation, we need to see if there is any different model that can help us to be more aggressive in speed and respecting all the restrictions that we have as a company that wants to have the control or have the FTTH built in their way that we know how to build it. That was the first question. The second question was added price. I think our ARPU, broadband ARPU is going up. Now it's going up more than 14% and we had 12% in the quarter before. So, I think going forward, we expect to be increasing ARPU as we are selling more FTTH and less ADSL. So, things are natural movement and we expect the market to be also rational on broadband because there is a lot of investment to make this fiber, and also to the CPE related to customer's premises. So, going forward we expect ARPU to grow as replace more FTTC and ADSL by FTTH.
Valder Nogueira: Okay. And the second question is how clients have reacted to your cross-sale offers on the 4.5G and fiber, which regions have been more dealing to that offer and how that has helped your overall ARPU dynamics?
Christian Gebara: Here it's more – we are giving more benefits in the mobile sites for fiber customers. It's not a very aggressive offer, while we giving today's normal day of mobile data to customer that are both fiber and postpaid with us. I don't have a number to do. I think it's been good in states, where we have a strong market share? I think it consolidates our position in these places. You can see our postpaid churn, it's very controlled. Although there is some aggressive moments some of my competitors with prices that are below average and with a lot of benefits in social network and other things that I mentioned before. So, I think that combined with many other things are helping us to keep, our net adds in a very strong and solid number. Keeping our churns out and going forward, maybe we need to do more as a bundle today to have to builds to offers going forward maybe we need to put them together. And I think also there's a channel synergy that we don't see in all the numbers in a very pure way rather, but we have been able to show more and more fiber in our stores that’s also give more value to the channel. They'll be deployed for a mobile purpose in the past and always being used also to sell high value products and services in the fixed business.
Valder Nogueira: Thank you, Christian.
Operator: Next question comes from Marcelo Santos, JPMorgan.
Marcelo Santos: Hi, good morning. Thanks for taking the question. The first question, is going back a little bit to MoU, the question of Fred? I know it's very preliminary. So, it's hard to see the benefits, but I think you already had an agreement of sharing a network with Oi, and maybe TIM that you signed in 2015, regarding the 2.5 gigahertz. What kind of benefits that you've achieved there? What kind of things you could talk about that agreement of sharing network that could be useful for us to understand the benefits? These new agreements could bring. This the first question. And the second question is just a technical question on the tax rate, which seems very low in this quarter. Even with the interest in capital, it's in abnormally low, so just a comment on the reason about that? Thank you.
Christian Gebara: Hi, Marcelo. It's Christian. I will answer the first, and then I'll give David the second. Okay. The agreement that we had with TIM and Oi is different from this one. That one was signed in 2015 was related to the 2.5 frequency for 4G. It was very limited. I think at the end we did like 1,300 sites from Vivo and they give each more or less 667 each because they had 10 plus 10 and we had 20 plus 20 megahertz as a frequency. I think that's not the same. I think that was very limited. As I said, it was a three way sharing that made it a little bit more complex. We had more frequencies and they had to add that two of them together and I don't think that serves as like a benchmark for us going forward. I think there was a good experience in a way to still do things. But I think going forward the one that we have planning to do with TIM is a little bit more aggressive, not going to more cities and more sites. But again, we have 90 days to define the scope and to get the right approvals to make it happen. But I don't think it's the benchmark would be the one that we won't like. We were talking about like, I don't know, less than 150 cities each that we put in the place to do this three way sharing that we had before. I think is going to be differences one. And lastly, and then I am going to ask David. If you have more questions about that, then he will give you more answers.
David Melcon: Hi, Marcelo. Thank you for your question. This is David. The main reason, if you compare tax rate year-over-year is interest on capital. So, in the first six months to deal with R$2.2 billion compared to the R$400 million that we declare in the first half of this year. Now continuing that we have – that's when of 35% of these amount, the displaying evolution of the number. Not this any other of this impact here.
Marcelo Santos: Okay. Thank you very much.
Christian Gebara: Thank you, Marcelo.
Operator: Next question comes from Mathieu Robilliard, Barclays.
Mathieu Robilliard: Yes. Good morning and thank you. I had two questions quickly, please. On B2B, could you give us a little bit detail for the segment and itself and how are you doing there compared to your peers? Second, on the mobile venture you announced, you haven't announced anything on 3G and I was wondering whether you had considered it, but decided not to share anything on 3G or you hadn't considered because you don't think it's the right time? And finally, if I had to have to ask about PLC 79, is it realistic to expect something in Q3 after the recess or could it be further delayed? Many thanks.
Christian Gebara: Hi, Mathieu. This is Christian. I’ll try to answer these two questions by different ways. B2B, we see a positive trend. We don't give numbers specifically for the B2B, but we see – as we've been saying for many quarters a very positive trend in both fixed and mobile segments for the B2B. The fixed is a lot – it's impacted by some deals that can move up or down when you compare year-over-year, but overall health of the business is positive. Although the economy is still under recovery, we see our B2B getting more attractive. Now there are some numbers that we see going in a very positive ways at digital services. We've been partnering with big companies in digital arena like Cisco, Microsoft, among others. We are growing security, we are growing cloud, we are growing machine-to-machine. So, there are many public numbers that we shared that signaling what I'm saying that is positive trend that we see in B2B and still depend a lot of the recovery of the economy as much as companies start to reinvest in Brazil, we're going to see our business going up in the same way. Regarding the MoU team, I think your question was about why 3G is not there. I think we wanted to point out our key priority in the short-term to make it visible or real. So 2G and 4G is going to be the first step, but there is a line in our MoU that also said that we are going to be assessing other technologies and other frequencies. So, once we get to the analysis of the 2G and 4G and we see that there is also opportunities to capture in the 3G we want to do. We just didn’t point out as the key priority because we wanted to make it real. So, starting with the 2G that we see easily to be accomplished and 4G new cities with 700. But again, when we get to a city that there's 2G, there is 4G and there is also 3G, of course, we are going to consider doing everything and getting a much more of this MoU. PLC, we don't have a concrete data to tell you. We still very optimistic. We don't know what's going to be the right timing. I think they're being analyzed by the senator. We have to wait for timing to have it analyzed. Brazil is under a lot of reforms at the same time, so we don't know what's going to be the agenda of the Senate to approve maybe social security, the pension funds, every person then the others or they can go in parallel. This feeling I cannot give you, but we're still very optimistic and I think as a sector, we are all aiming for this approval.
Mathieu Robilliard: Thank you very much.
Operator: Next question comes from Alejandro Lavin, Citi.
Alejandro Lavin: Hi guys. Good morning. Thank you for the call. I have a couple of quick questions on the balance sheets and leverage. So obviously you have a very comfortable position right now. Your net cash will measure excluding IFRS 16. So obviously this gives you a lot of flexibility going forward. So, I'm wondering what would be the top two or three possible uses for these leverage capacities?
David Melcon: Hi, Alejandro. This is David Melcon. I will take the question. I mean, as you say we have a very strong balance sheet. We're trying to consider that in the next six months, by months we're going to pay the shareholder remuneration coming from that year that we amount to almost R$7 billion. So, we'll have a cash out of R$7 billion in the second half, so this is something that we need to consider. And then regarding what would be the plan for the future? I think having such a strong balance sheet give us opportunities also to have the flexibility for anything that we'll have in the future. I'm thinking about the other tax report, and the potential, we believe, that this is the right structure that we have at the moment and then we will see further on when there is any specific.
Alejandro Lavin: Okay, great. And if I may a quick second question. What would be a normalized or steady state leverage level that you would feel comfortable for you? Thank you.
David Melcon: I mean we don't have rates, and I think if you look to the text – the interest rates in Brazil have reduced significantly over the last couple of years. So, I think now we are in a different situation than we were before. We are better, but at the moment we don't have plan, so I cannot give you a number. So, if you include also the data that we have from IFRS 16, so the number is slightly higher. As I said before, I think we need to see what would be the next future particularly about the tax reform and few other things and then we'll make the decision. But at the moment, we have nothing – no reference here.
Alejandro Lavin: Okay. Very clear. Thank you.
David Melcon: Thank you.
Operator: This concludes the question-and-answer section. At this time, I would like to turn the floor back to Mr. Christian Gebara for any closing remarks.
Christian Gebara: So, I'd like to thank you all for participating in our call. If you have any additional questions, please contact our IR team. And as we said along the call, we are very optimistic about the country and our go-forward business, the mobile and the fixed for the second half of the year. So, thank you and hope to see you soon. Bye-bye.
Operator: Thank you. This concludes today's Telefónica Brasil 2Q 2019 results conference call. You may disconnect your lines at this time.